Iain Ross: Thank you. Good afternoon, good morning, welcome to the Golar LNG Fourth Quarter 2018 Results Call. Today, I'm joined by Graham Robjohns, CFO; and Stuart Buchanan; Head of Investor Relations. I'm pleased to report on the back of improved operating revenue, our quarterly adjusted EBITDA increased to $121.7 million in the fourth quarter, up from $83.5 million in Q3 and accordingly full-year 2018 adjusted EBITDA increased to $218.1 million, up from a loss of $24 million in 2017. The Board has declared a dividend of $0.15 per share. While the fourth quarter was clearly buoyed by a strong shipping quarter, the carrier market clearly remains volatile for the time being. I'm going to share our thoughts in addition to some more color on yesterday's BP announcement after Graham takes us through the numbers.
Graham Robjohns: Thank you, Iain and good day to everybody. I'll start with financial highlights on Slide 3 and starting with income statement. We are very pleased to report as Iain has already alluded to an extremely strong net operating revenues quarter with increased revenues from $98.3 million in Q3 to $141.8 million in Q4. This is of course is being driven by significantly improved earnings from the shipping fleet, which recorded average Time Charter Equivalent rates of $77,600 per day for Q4 with spot tri-fuel diesel electric vessels earning $97,300 per day. Other line items down to adjusted EBITDA were generally in line with Q3 except for other operating gains and losses, which reported a reduced Q4 gain of $13.4 million representing a further, but lower cash recovery as a result of proceedings in respect of a former contract for the Golar Tundra. Adjusted EBITDA was therefore increased from $83.5 million to $121.2 million. After a couple of quarters of gains as oil prices rose, the fair market value of the Hilli Episeyo oil linked contract derivative asset by the value of the potential future cash flow from the oil linked higher component in the Hilli contract, decreased by $196 million during the quarter with a corresponding unrealized loss of the same amount recognized in the income statement. The fair value decrease was driven by a significant downward movement in the expected future market price for Brent oil. The spot price decreased from $82.72 per hour, per barrel on September 30 to $50.57 per barrel at December 31 although, of course, it has since recovered to around $66 per barrel today.  Despite the loss in Q4, the derivative contracts still had a positive recorded value on the balance sheet of $84.7 million as at December 31. I would stress though that this is a non-cash fair value movement only and as long as revenues are above $60 a barrel, we continue to receive cash revenue under the Hilli contract for the Brent linked element. The other large non-cash again impact on our net income this quarter is $154 million Q4 equity in net losses of affiliates, which is primarily driven by $149 million impairment of the carrying value of Golar's interest in Golar Partners. Golar Partners' unit price as at December 31 was $10.80 whereas the unit price at IPO was $22.50. The impairment is based on the year-end unit price of $10.80 and given the time that the Partnership's unit price has traded below its carrying value, the reduction is now considered other than temporary. The stock price has of course since recovered to $13.78 as at last night's close, but not yet to the levels at IPO. Primarily as a result of these two non-cash valuation movements totaling $344 million, the company recorded a net loss of $313 million for the quarter. Moving over to Slide 4 and the balance sheet. Golar's total current cash position as at September 30 was $704 million including long-term restricted cash and cash related to VIEs. Of this, $218 million was unrestricted and $175 million related to Hilli Episeyo letter of credit. Of that $175 million cash securing the Hilli's letter of credit, approximately $110 million is expected to be released to free cash between May of this year and May 2021.  Cash outflows during Q4 included $25 million investment in Avenir, $29 million paid in respect to final sums due for the Hilli Episeyo construction, $18.6 million paid to Keppel in respect of the initial payments with regards to the conversion of FLNG Gimi, and some collateral payments in connection with our margin loan and equity swap. Golar's contractual net debt, which is after adjusting for our consolidated variable interest entities including 100% of Hilli's $910 million debt as at December 31 was $2.1 billion or $1.65 billion, if you exclude GMLP's share of Hilli's debt. As we discussed in the earnings release, we are also in the final stages of getting credit commitments on a $700 million facility for our new project FLNG Gimi. Turning over to Slide 5, as the LNG shipping market recovers from its prolonged down cycle that ended in the latter part of 2018 and our new project start-up Hilli of course in May of 2018 and Sergipe next year, our EBITDA is starting to build. This slide shows full-year further adjusted EBITDA for 2018, which removes GMLP's share of Hilli's EBITDA and is adjusted for non-recurring items of $200 million for 2018. EBITDA was, from shipping was of course fairly weak during the quarter, the first three quarters of 2018. So if we then take Q4 annualized EBITDA, this rises to $346 million. Commencement then of Sergipe in 2020 and now also Gimi in 2022 will of course add significantly to our future cash flows building on our existing EBITDA.  And with that, I'll hand back to Iain to carry on with the presentation.
Iain Ross: Thanks, Graham. So starting with shipping, Slide 6. Well, its certainly been an interesting few months in the shipping side of things. So on LNG import side, we saw Chinese and Korean 2018 demand increase by 41% and 18% respectively. China entered the buying market earlier in 2018 and with a milder winter, the sector experienced a slower than anticipated inventory draw down which resulted in a higher than normal number of cargoes at sea and a rapid tightening of available ships. And the clear effect of this was to drive LNG carrier rates to all-time high levels in November with short-term effective spot rates for TFDE vessels including positioning in ballast fees briefly reported to be around up to $200,000 per day. Rates for steam vessels also reached their highest level in five years. So following draw down of the LNG tanks through December, the laden vessels discharged the cargoes and despite record December LNG imports into Northeast Asia, the combination of falling Brent prices, strong European gas prices and milder weather prevented the Asian arbitrage window from opening. Multiple vessels became then available for spot fixtures and the resulting TFDE and spot prices decreased by the end of the quarter to about $100,000 and $85,000 a day respectively. Rates then continued to soften into the first quarter 2019 where the spot market is currently fetching headline TFDE rates of somewhere around $50,000 a day. So, notwithstanding the volatility of the last few months, our view of the shipping market remains bullish.  The thesis of structural shortage over the next couple of years is unchanged and we believe what has happened over the last quarter was driven more by the unusual number of laden vessels not being able to discharge rather than an earlier than envisaged structural tightening of the market. It was only around 39 vessels planned for delivery in 2019, matching up with approximately 35 million tons per annum of new LNG scheduled to come online in the year. That requires a sort of a conservative average of 1.4 to 1.5 ships per million tons and therefore leading brokers are forecasting at least a 10 vessel shortfall by the end of 2019 and considering the same dynamics, this is forecast to increase to a shortage of more than 20 ships by the end of 2020. As previously mentioned, we continue to look at the establishment of a joint structure with other shipowners that allows LNG shipping investors more direct exposure to the LNG shipping market. We've made significant progress with this initiative including agreement with banks and lessors to secure approximately $1.1 billion in financing for the nine vessels Golar is considering contributing to this new company. And should we complete the potential separation of spin-off of the LNG shipping fleet, it's expected to significantly reduce the volatility in our earnings and better position the long-term contracting business for infrastructure investors. Under this type of structure, it should also be noted that while Golar plans to contribute its TFDE vessels, the technical management of all of our ships will remain with Golar. Turning now to FLNG on Slide 7. The Hilli Episeyo which completed its first scheduled maintenance window during the quarter without any issue and ahead of schedule. It continues to operate with 100% commercial availability. The vessel is currently in the process of exporting its 16th LNG cargo, which is nicely being picked up by the Golar Nanook on its way to Sergipe for commissioning of the power station. In terms of Hilli Train 3, Perenco and SNH have confirmed that the contracted option for the third train maybe exercised during the fourth quarter 2019. You may recall under our LTA, a 30-day notice period is only required to be given to increase the base throughput and therefore we expect this to be increased to 1.8 million tons a year before the end of 2019.  And on Train 4, we are in active discussions with Perenco to develop the right gas supply solution and we expect these discussions to be completed before the end of the year. Yesterday, we announced that Golar has entered into an agreement with BP for the charter of an FLNG unit, Gimi, for a 20-year period expected to commence in the second half of 2022. Gimi is already at Keppel shipyard where a site team has been assembled. Keppel Capital will be a 30% shareholder in the project. With a conversion cost of approximately $1.3 billion, annual contracted revenues less forecasted operating costs of approximately $215 million are expected, equivalent to the total Contract Earnings Backlog of $4.4 billion and of the $4.4 billion Golar's expected share is $3.1 billion. As Graham mentioned, initial long-term financing of $700 million when supplemented with other financing facilities and taking account of the financing cost during construction, all of that should mean we'll have total equity contribution from the company of around $300 million in respect of our 70% stake in the project.  Just on the project, turning to Slide 8. A couple more comments, the Tortue project will produce gas from an ultra-deepwater subsea system in 2,850 meters of water located 120 kilometers from the coast of Mauritania and Senegal. The gas will be transferred around 80 kilometers through the flow line to a mid-water FPSO which will process the gas and strip out the liquids. The gas will then be transferred to the Golar, Gimi FLNG facility and an innovative nearshore hub, which will provide the shelter and benign Metocean conditions for the vessel.  A simple way to evaluate this project is to compare it with Hilli and we've attempted that on Slide 9. We believe that Gimi is a good, a strong project and on all the metrics we've noted on Slide 9, we believe Gimi is at least as good or better than Hilli on all terms, but one point I'd like to emphasize is the following: with Hilli, we had a prototype. It was a novel design using innovative conversion techniques to marinize proven liquid fraction technology. The bigger risks were around the complexity of bringing together marine systems and large complex power generation needs together with more traditional onshore gas processes and essentially creating an offshore version of that.  Once construction in Singapore was safely achieved, we then needed a capable team to build the transport start-up and run the vessel. With Hilli proving itself well and our people becoming more and more familiar with the asset, we find that the move to Gimi is a stepping stone rather than a massive leak. Gimi is essentially a copy of Hilli with the incorporations of lessons learned along the way. Much of the Gimi crew will be able to gain experience from Hilli and we have retained a lot of yard experience to ensure learning is captured. And by means of example, I was in Singapore yesterday at the shipyard, meeting with the key Gimi project technical leadership from Golar, Keppel and Black & Veatch.  There were around 50 people in the room and I asked for a show of hands who had worked on Hilli and was pleasantly surprised to see about 90% of the team had their hands in the air. Importantly, Golar will also play its part in training and developing Mauritanian and Senegalese nationals for various positions on the project as we have successfully done with Cameroon nationals for Hilli. So my point is that Gimi is not a prototype. It has been done before and we have the people to implement the project who will bring their recent and extremely relevant experience and for me this significantly de-risks the project execution. Turning to Slide 10, touching on some other FLNG opportunities. On a couple of specific projects, progress has also been made on the development of Delfin in the Gulf of Mexico and work continues to establish the right gas supply and offtake combination to enable a financing and yard commitment potentially before the end of 2019. And secondly we course note that Ophir Energy's production license with the Government of Equatorial Guinea has not been extended. Golar remains engaged with the relevant authorities and other potential operators in the event that the production license is awarded to an operator interested in pursuing Fortuna FLNG as a development solution. Taking a look at the bubble chart, you can see that the projects have moved around a little bit since we last issued this. There are two notable changes. The first is that with Hilli production continuing to perform well and with BP enhancing FID, we are having a real ramp-up of interest in our FLNG capability and the second thing is that the majority of project opportunities, they have moved to being currently weighted toward tolling type projects rather than fully integrated developments.  These points are interlinked in that some of the new opportunities on the chart are being considered to solve current gas supply issues rather than monetizing marginal stranded gas fields, which by definition results in a tolling type arrangement. I would point out of that we still have an ambition to participate in the molecules, but there are several tolling opportunities that are maturing fairly quickly right now. So it's just a matter of prioritization. Where floating facility is appropriate, we believe that Golar's FLNG solutions remained substantially cheaper and faster to market than alternatives. Turning to Golar Power, Slide 11. Construction of the Sergipe power plant remains on schedule with no significant issues to impede the commencement of operations in January 2020. Soft yoke mooring base for the FSRU is in position and piles of currently being installed. Both water and gas pipelines are now installed and we remain on track for first commissioning fire of the power station around about the end of quarter two. Just reinforcing Golar's 2020 share of combined Sergipe and Nanook annual contracted revenues less the forecasted operating expenses is around $100 million per year and that reduces to approximately $45 million after deduction of debt service costs. This income stream is just around the corner in January 2020. As I mentioned, the FSRU Golar Nanook is currently loading Hilli's 16th cargo, which we'll use for commissioning. Golar Power is also advancing discussions with a view to using some of the available spare capacity in Nanook to support local LNG field opportunities. This market is still immature but showing really strong signs of interest in both the LNG trucking and diesel for distributed LNG local power generation. Further FSRU and associated downstream infrastructure opportunities are being pursued in Brazil. License approvals for projects are making good progress including the recently gazetted Barcarena site approval. These licenses put Golar Power in a strong position to develop FSRU terminal projects, to win future power options and of course to distribute to LNG locally. And the establishment of Avenir in the fourth quarter will further enhance our ability to move around smaller parcels of LNG and benefit from this market. Turning to other FSRU business, the redeployment of Golar Freeze to Jamaica and the potential development or deployment rather of a converted Golar Viking to LNG Croatia are evidence of good utilization of older, smaller steam vessels, In Croatia, Golar has agreed to convert the 2005 built Golar Viking into an FSRU and sell the converted vessel and then operate and maintain the FSRU for a minimum of 10 years. Importantly, the conversion CapEx will be funded by stage payments under the agreement. Project FID is subject to certain conditions precedent including confirmation of project funding and receipt of a notice to proceed from LNG Hrvatska. And finally, on the back of the Sergipe project nearing completion, Golar Power has initiated a review of the strategic alternatives that are available for the business.  Whilst at an early stage, this will involve the development of a growth plan, which will include the financing considerations necessary to deliver that growth. We note that under the original agreement, our joint venture partner has the right to trigger an IPO of Golar Power and while no decision has been taken in this regard, we believe that significant value, which has been built up over the last four years and in full compliance of IFC and World Bank environmental, social and governance standards, could position Golar Power well with ESG focused investors. So turning to Slide 12 and in summary, Golar enters 2019 in a substantially stronger position than it was 12 months ago. This is evidenced by FLNG Hilli Episeyo being operational and cash flow generative and the constructive progress is being made with respect to utilization of its spare capacity. Also the underlying recovery in the shipping market, Golar Power's Sergipe power project and the Golar Nanook FSRU are fully financed and less than 11 months from contract start-up. Of course, the award by BP of a 20-year FLNG contract is expected to deliver annual contracted revenues less forecasted operating costs of approximately $215 million. And total contracted earnings backlog, including our proportionate share from equity investments of $6.6 billion comprising $2.5 billion from Golar Power, $0.5 billion for Golar Partners and $3.6 billion from Golar LNG. In shipping, mild weather in key Asian markets is suppressing Asian LNG prices and currently preventing inter-basin trading activity and close to half of the 2019 new build vessels are also scheduled to deliver in this quarter and together, this is contributing to a rise prompt vessel availability and of course softening spot rates currently somewhere around $50,000 a day. Based on fixtures to date, Golar expects the first quarter 2019 TCE will be significantly reduced in the fourth quarter and clearly below mid-cycle rates. And although the spot rates may be prone to further periods of volatility, our belief in the structural shortage of vessels remains firm. 2019 is expected to be the first year since 2012 that the shipping balance will report a deficit in the number of ships acquired and this deficit is expected to increase in to 2020. New FLNG opportunities are appearing and others are developing on the back of a strong operational performance from Hilli and the award of the BP contract. FLNG is rapidly becoming acknowledged as a strong technical solution and Golar remains the leader in terms of project development and operating experience including the ability to work with project owners in order to get their projects to an FID. The company expects 2019 operating income to continue to improve driven by a stronger shipping market and the first full-year of FLNG Hilli Episeyo operations. In 2020, operations will commence at Sergipe and further production growth from Hilli is also anticipated. Looking back on 2018, I'm extremely pleased with the way the Golar team has responded to some of our earlier setbacks, bounced back and put us in a strong position for the creation of growth in 2019.  Thank you for your attention. I'd now like to hand you back to the operator for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Michael Webber of Wells Fargo. Please ask your question.
Michael Webber: Hi, good morning guys. So there is a ton to unpack within the release. So I'll keep it to two, but I'll keep them pretty broad. The first question is around I guess your footprint and there is a couple of things going on within the release. You talk about, it seems like you're going to tee up the big idea that you could see it, the more formal spin of Golar power and then you've already talked to kind of the strategic options you're looking at for the LNG carriers and you flush that out a bit and then you also took a write-down or impairment on your stake in GMLP and if I kind of think about all those within context, it seems like you're kind of realigning or kind of poised to kind of realign your structure and your footprint, kind of more in line with the verticals that your exposed to specifically which seems like it would make sense from a financing perspective et cetera. I'm just curious, is that the case and then within the context of your stake in GMLP and GMLP's existence, does rolling that up makes sense before you then kind of realign the footprint or would you expect GMLP to continue to kind of exist alongside what would eventually be kind of a couple new buckets or entities?
Iain Ross: Thanks for the question, Mike. I think there's almost as much in your question than we put in our release.
Michael Webber: Yes, I know. Sorry I'm trying to tie it together as nicely as I could, but you know.
Iain Ross: I think what we're trying to put out is, we acknowledge the complexity of the business and while we were talking and trying to explain what we are considering, we actually haven't decided on any of those items, but it's fair to say that we're looking at ways of making the business more investable or more clear to potential investors as we move forward. So and looking at things that may happen or activities that may happen around the ships, which we've talked about before and highlighting that we're trying to get a growth plan developed for Golar Power on the back of, coming to the end of the Sergipe project. All of those things are natural progressions of the business I think.
Graham Robjohns: Yes, I know, I think that's...
Michael Webber: Sorry, go ahead, Graham.
Graham Robjohns: No, I mean Iain said it well.
Michael Webber: Yes, I know that's helpful. And then as we think about your FLNG platform specifically. I know there are bunch of details that get you on Tortue that get. But when I think about the next one to two years and where you're going with that platform, you're in a better commercial position probably than you've been for that technology and that platform than you have been since inception, but it seems at least from the outside that there's maybe not an obvious leader in the clubhouse in terms of kind of the next target, the next destination for one of your FLNG assets. Can you maybe help us prioritize potential projects and geographies and maybe specifically, what do you think is more likely? Do something in West Africa next versus another geography?
Iain Ross:  So there's a few things that have surprised us recently and the thing that's been the biggest surprise is the volume of incoming calls of people that got current gas problems that would take a vessel tomorrow. If I had a Hillie or a completed Gimi, we could deploy that straight away. There is definitely a demand that's out there. We continue to make good progress with Delfin. I've got a team that are over in Houston right now having further meetings. These projects of course are complex and you dig below the surface and there are many, many items to solve, but we're working very collaboratively and continue to make progress on that project and while I'm not making any prediction of how it will turn out, we definitely have a timeline that you know if everything fell into place, we could end up with somewhere pretty good by the end of this year.  I suspect in addition to that, we will have one of those other gas related, so gas problem projects, if you want to call them that. It is not a problem, it's an opportunity, but I suspect one of those projects will have the chance of coming to the fore pretty quickly and our bubble chart of opportunity is definitely changed, We've dropped a few prospects off that we were perhaps chasing over the last couple of years that are probably too complex and too hard and that gives you an indication of the number of opportunities that are coming in that are more fruitful. So being able to move the opportunities around and really try and pick the ones that have got a greater chance of going ahead is interesting and we've gone through and developed a new way of assessing all of these opportunities. We can be fairly firm in recognizing jobs that, projects that may look really good on paper, but when you dig into them, if we're not going to get there, we just drop them off the table.
Michael Webber:  Okay, that's helpful. I will probably hop back in the queue. I appreciate the time, guys. Thanks.
Operator: Thank you. And your next question comes from the line of Randy Giveans of Jefferies. Please ask your question.
Randy Giveans: Hi, gentlemen. How are you?
Iain Ross: Hi, Randy
Graham Robjohns: Hi, good, thanks.
Randy Giveans: So I guess my first question will be around kind of Tortue announcement. The contract is for the Gimi, but last call you said the Gandria was already being retrofitted at Keppel. So if you can kind of touch on what happened to Gandria? Why the Gimi instead of that one, but my question also is around the GLNG kind of $300 million or so in equity needs for the Tortue. Are there any concerns or possibilities maybe around an equity offering needed to pay that or how do you expect to fund that. Obviously, you have a pretty robust cash balance, but if you can touch on that.
Iain Ross: Okay, let me take the first part of your question, Randy, on the Gandria. So, Gandria was moved to Singapore, gosh I can't remember six months, nine months ago. It was nominated for of course the Fortuna project. In anticipation of that project gaining momentum, we elected to take the Gandria into the yard and started survey work on the vessel. I think we pointed it out at the time the work that we were doing was non-project specific and would not be used for any conversion project. We didn't actually do an awful lot of physical work on the vessel. It was more condition assessment and understanding what the work scope would be. As of today, we've actually swapped Gandria and Gimi. They were side by side in Keppel shipyard for a while, which is quite nice, but we've actually moved Gandria back to the blind and put her in temporary layup until the next opportunity and that's really just space of the shipyard issue.
Graham Robjohns: Yes, Randy. If I take the second part of your question on the $300 million. I think first thing to note is that of course, it is over a four-year period. We, in terms of operating cash flow, as we mentioned in the prepared notes, we have moved from sort of negative EBITDA in 2017 to pretty strong EBITDA in 2018 and expect that to improve in 2019 with cash flows from operations increasing still further in 2020 when Segipe comes online. And of course again as you kind of alluded to in your question, we're starting from a pretty strong cash base in the first place. We have $218 million in free cash on the balance sheet at the end of the year and we have $110 million of cash that's going to be released over the next couple of years from the Hilli LC. So all in all, we think we're in a pretty strong position.
Randy Giveans: Got it. So just to summarize that first question. No need for any kind of equity offering?
Graham Robjohns: Well, I'd said, we're in a pretty strong position with regards to our cash assets that we have and our operating cash flows that we expect to come over the next four years.
Randy Giveans: Sure. All right. That's fair. I'll leave it at that. Now on the LNG shipping side, are all the vessels in the Cool Pool currently employed and then kind of what is the average duration remaining on the current fixtures. I know some Cool Pool contracts are for single cargo whereas others are for multi-month or up to even one year. So if you can touch on kind of the Cool Pool there.
Iain Ross: So, with the Cool Pool, I mean we don't give out specific details on every vessel, but I mean I think it would be a fair assumption with the rates is depressed and my commentary and the prepared remarks around the number of spot vessels that have been released this quarter, it would be right to assume that not all of the Cool Pool vessels are working right now. Fixtures continue to be fixed. Right now, they are probably, you would want them to be for single voyages because the rates are suppressed. So we wouldn't be looking at this time to be fixing out on longer durations, but within the Cool Pool, those, all of the ships are essential and relatively short-term.
Randy Giveans: Got it. All right, well I'll pass it on from here and hop back in the queue. Thank you.
Iain Ross: Thanks, Randy.
Operator: Thank you. And your next question comes from the line of Jon Chappell of Evercore. Please ask your question.
Jonathan Chappell: Thank you. Good afternoon. First question on the announcement from yesterday. I mean I think it's great to get a 20-year BP contract in the contract backlog, but the question was the 30% ownership by Keppel Capital. How did that come about? Was that timing on year-end from arranging the financing or trying to minimize the cash outflows associated with it or was that something demanded by Keppel, it just seems like maybe giving away a little bit of the upside from the contract.
Iain Ross: So, Jon it's worth going back and recalling the history. So the BP project, the Gimi project and we didn't talk about it publicly at the time largely because we weren't allowed to. That project originally belonged within one LNG, joint venture that Golar had with Schlumberger and if you recall, Schlumberger pulled out and to be fair to Keppel Capital, they stepped in at very short notice, agreed to put up their balance sheet to support us on the project and within just a few days, we managed to convince BP to go with Golar plus a suitable partner recalling that having Schlumberger in there obviously was an attractive proposition until they pulled out. So I think a different way to look at it is that we've gone from having 50% of a project to having 70% of a project and we got a partner that's aligned with us in the execution of the job. So I don't think it's a bad outcome at all.
Jonathan Chappell: Okay, that makes a lot of sense. Thanks for the reminder there. And then on the LNG aspirations, the shipping business, pretty clear on what you plan to do with the TFDEs although I'm only getting to eight if you take the two ships that are pledged to go are power for eventual conversions, so maybe a Part A to this question is, is there only going to be one more vessel pledge to go or power for conversion in one of the other ones would then be part of the nine, but the second part is, what are the plans for the steam vessels? I know the Viking's being converted hopefully for Croatia. Are they just going to kind of stay in the Golar structure today and with hope for conversion at some point because they obviously didn't do incredibly well in the fourth quarter in a very tight market. So just wondering with the long-term plan is for them.
Iain Ross: Well, I mean there are, what 16 ships. So I mean, what we'll do with those is continue to look for conversion opportunities be there for FSRUs of others and look when the market turns to put them on probably longer-term contracts if the market permits it and the nine ships that I mentioned about potentially going into this new structure reflects the number of TFDEs that we would be left with.
Jonathan Chappell: Okay, but, so I count 10 TFDE ships in your fleet. Two of them, I can't remember the names. Give me one second. The Celsius and the Penguin I think were supposedly pledged to Golar Power as part of the three ships there. Would one of those then be part of this new venture and one of them stick with the Golar Power or am I missing something there?
Iain Ross: We have a bit of flexibility around there and nothing has been concluded, but remember, we've also got the Golar Tundra as an FSRU. So I think we've got enough flexibility to guarantee nine ships going into this new entity if that happens.
Jonathan Chappell: Got you. All right. I appreciate it, Thank you, Iain.
Operator: Thank you. Your next question comes from the line of Espen Landmark of Fearnley. Please ask your question.
Espen Landmark: Hi, good afternoon. I just had one question, really. I mean you, I guess many are surprised the Golar share didn't perform in the fourth quarter when you saw the spot rates rallying. And I guess oil prices going the other way had something to do with that, but then you're releasing a short memo in December, which essentially formed the basis for the announcement yesterday, which is a massive project with very firm economics. And today, I think your point is to further progress in essentially everything you do and looking at sell side, 21 of 21 analysts covering Golar has a buy rating and even today, the stock isn't really performing. So this is a tricky question, but the share price is important for you guys as well. So what do you think the equity market sees that we don't?
Iain Ross: That's a question we normally ask you guys. I would say that we, the feedback we have had is that Golar is a complex business to look at from the outside. I think some of the things that we've discussed today shows that we are considering how to make the business more easy for investors that only want to invest in part of what we currently participate in. That could be done. So that's part of it. I think there's generally a bit of a negative sentiment in the energy stocks at the moment, but I believe that will turn the corner at some point during the course of this year, but I think more importantly, what we can do in Golar is not certainly react to what the share price is doing, but more importantly say these are the things that we're going to do and actually deliver on them rather than give hollow promises that we never turn up with.  So, for me it's about talking about the fact that we do have the BP contract now. We guided the market toward that happening around about the end of last year. Well, this is only February and we've got a signed deal. I mean that's pretty exceptional for BP to be able to turn that around in what is a very difficult set of contracts to get negotiated. So I think there's commitment, there is momentum in our FLNG business and I think what we should be doing is focusing on the things that we can do to make a difference to our EBITDA backlog, to our cash that is coming out of the business rather than being overly concerned about what's happening specifically on our share price which of course we can't control.
Espen Landmark: Fair points. Thanks Iain.
Operator: Thank you. And your next question comes from the line of Fotis Giannakoulis of Morgan Stanley. Please ask your question.
Fotis Giannakoulis: Yes. Hi, gentlemen. Couple of questions. First of all, if you can give us a little bit more details about the financing of the Tortue project. You move alluded that you might get additional financing from the $700 million. Can you give us a little bit more color on that? And also talk to us about the repayment schedule and how will this be compared with that of the Hilli FLNG?
Graham Robjohns: Yes, Fotis, sure. So I think I mean I think the first thing to note is, of course, this financing although it is from different sources, this is kind of from international banks. Doesn't look that dissimilar to the situation we have with Hilli where there was a $700 million during the construction period and then it increased at COD. What we're saying is that we'll have shortly, we expect, committed $700 million and that we are pretty clear that as we get closer to COD we will increase that facility either with existing banks or with refinancing but there are pretty clear indications that, that is the route that we'll go down. So, we'll get to close if not above the 960 that we have with the Hilli.
Fotis Giannakoulis: Anyway you can give us some guidance on the free cash flow. You also talk about some potential upside on the revenue.
Iain Ross: Yes, so in terms of the financing profile, it will not be, the debt facility profile will not be that dissimilar to Hilli and the overperformance which you referred to relates to if we are performing above base capacity. So there is another sort of 10% or so increase if we are absolutely maxing out on the vessel.
Fotis Giannakoulis: Thank you. One more question. A little bit more strategic question. At this point, Golar has several investments with different pockets from shipping to power to FSRU to FLNG. I noticed that the Nanook except of the fact that is going to serve the power plant in Brazil is going to be used for the commissioning cargo is going to get gas from the Hilli. I'm trying to see how you think the company the next couple of years from having separate investments across different parts of the LNG supply chain to becoming a more integrated company. Is this a plan toward this direction. How shall we think Golar the next couple of years spending it's capital and investing in the LNG business.
Iain Ross: So I think where we right now see capital investment opportunities being most attractive are in the FLNG end and in the sort of the other end in the downstream in the small-scale gas distribution end. Now part of getting into that small-scale gas distribution is you need to have access to strategic asset and the way you described Nanook is a perfect example of that whereby we have a base load contract, which is the Sergipe power station contract providing the underpinning income for the Nanook. So that in itself is a good deal for the Nanook alone, but of course, we've got two-thirds of the capacity of the Nanook that we could use for other things and so therefore we are very actively working out how we can contract that capacity through further distribution and I think where we are going to be concentrating our efforts is to try and stimulate that market because that market is there, but it is nascent.  It doesn't really exist yet, but it's just, I think it is going to be quite significant because you have diesel being burned to generate fuel in remote locations and the equivalent LNG prices you know, is very expensive. It's $20, $25, $30 a million BTU equivalent and if we can get LNG to that location for a significantly less price, then not only will it make the consumer of that gas to burn for power, make them happy because they are going to pay less, it's also better for the environment and there is a similar story with trucking, which we've spoken about before.  So those generating or trading the LNG, so the FLNG business and at the other extreme working out how to take it from the FSRU into small-scale is where we see our capital being deployed. And of course, having an FSRU strategically located is an important part of that and I think Avenir that we talked about last time is a key component of that value chain because that allows us to break bulk from the big FSRUs into the smaller Avenir ships and take them further down that supply chain.
Fotis Giannakoulis: Can you please clarify which portion of the small-scale will be done through Avenir and which portion will be done through Golar. This is not very clear to us.
Iain Ross: I think that's evolving. It depends where it is and where it's come from. I mean, Avenir, there is an overlap, but I think that the other way to look at is, there's plenty business there to share around. Golar Power is active in Brazil, stimulating and developing the both the trucking market and the small distributed power generation market. Avenir, as you know, is focusing on the Sardinia terminal and we are currently building some of the small-scale carriers. So I think the complement of all of that people working together when this market takes off is really where we're focusing at the moment.
Fotis Giannakoulis: Thank you very much.
Iain Ross: Thanks, Fotis.
Operator: Thank you. And your next question comes from the line of Frode Morkedal of Clarksons Securities. Please ask your question.
Frode Morkedal: Hi guys. Thank you for that. Coming back to the financing on Gimi again. I guess with the 20-year contract and $4.3 billion backlog, you should be able to have even higher debt levels than the 960 you talk about. Could you just touch upon that, why not even more debt level and therefore release more debt back?
Iain Ross: I don't disagree. I think I referenced the 960 because that was the debt level on the Hilli. What we've said is that it's $700 million during construction, we're pretty clear that as we get closer to COD, we'll be able to increase that and we'll see what that level is.
Frode Morkedal: Okay, yes, on the Hilli Train 3, can you just remind us on the potential economics? I guess you have $42 million fixed EBITDA on the two trains today per quarter. What will it be with Train 3.
Iain Ross: I think we've talked about this before. So we've already got a pre-existing agreement with our customer that when Train 3 comes onboard, there's a slight discount across the three trains and we retain the Brent linkage.
Graham Robjohns: I think we in last quarter's earnings presentation, we showed a slide that showed that under the terms of the option that is contracted assuming an oil price of $75 a barrel, that would add around $95 million in EBITDA.
Frode Morkedal: Okay. Thank you.
Operator: Thank you. And your next question comes from the line of Chris Snyder from Deutsche Bank. Please ask your question.
Chris Snyder: Thank you. Good afternoon, guys. So my first question is around the spin-off. You said there is agreements for $1.1 billion of debt financing for the nine TFDE vessels. Can you just talk about the leverage ratios expected on the spin-off entity. I'm just trying to translate this debt financing into a potential sale price or implied asset valuations.
Iain Ross: Well, so it's around about 65-ish ratio.
Chris Snyder: Okay. So that almost looking like 200 million a vessel or like almost $190 million? 
Graham Robjohns: Yes, so that $1.1 billion is made up of some existing facilities and some new facility. So, on the new facilities, it would be, sorry, on some of the existing facilities, the percentage is actually a little bit higher.
Chris Snyder: Okay. Nice.
Iain Ross: Just to give you clarity, we've got existing lease facilities that would roll over. So that's basically what we're saying that. So, it's a combination of lease and new debt.
Chris Snyder: Okay, fair enough. Can you just remind us how much debt Golar currently has on those nine vessels roundabout?
Graham Robjohns: It's not dissimilar to that amount.
Chris Snyder: Okay. Thank you for that.
Graham Robjohns: I think there is a fairly detailed analysis in the earnings release if you review that after the call.
Chris Snyder: Okay, thank you. And the next question is around Tortue. I think there is expectations that BP will look to expand the project pretty significantly just given the investment that they've made and the massive reserve base. Could you just talk about potential incremental FLNG demand. If we do see this significant expansion or is the expectation that BP will kind of just leverage the Gimi with other production equipment to drive Phase II and even the Phase III.
Iain Ross: BP will require additional liquefaction trains and we have no, had any meaningful discussion with them for many, many months. We've been so focused on trying to get this first one over the line that there just hasn't been any room in the day to and, be inappropriate to raise that. We'll probably find out in the next few months what BP's plans are now that we've got the first one kicked off. The short answer is, we just haven't talked about it.
Chris Snyder: Okay, fair enough. And then just last one real quick. Could you provide any color on the economics around the global Viking, the FSRU contract you guys announced?
Iain Ross: Well, I think we'll just hold off on that until we get more certainty over the contract and the CPs and when it looks likely they are going to be lifted, we'll give a more full brief.
Chris Snyder: Okay, thank you. That does it for me. Appreciate the time guys.
Iain Ross: Okay.
Operator: Thank you. And your next question comes from the line of Chris Wetherbee the Citigroup. Please ask your question.
Chris Wetherbee: Yes, thanks for taking the question. I guess I wanted to talk a little bit about yard capacity and sort of Golar management capacity as you think about the potential of running two FLNG conversions simultaneously potentially in the future. Is that something that you feel confident, both from a yard standpoint and a management standpoint that can be done?
Iain Ross: I believe we can. I mean we've got, as I mentioned earlier, we have an incredibly high percentage of our leadership team that's on the Gimi conversion that has Hilli experience. You don't actually need it to be as high as it is. It is a great thing that it is, but our ability to bring more people in and I think we are seeing this already as we consider the operations team for the Gimi, we've already identified many people who will cycle through the Hilli operation and move on to Gimi. So I think there's a couple of things here, one is FLNG is a very sort of buoyant thing in the industry at the moment and we're getting a lot of interest from people wanting to join Golar.  I think we've got enough capacity to be able to do this sort side by side working and transfer that knowledge as we move forward. I think that then, we then look at the contracting community and move our focus to where is the best place to do that work. Is the capacity there in the contracting community and we have had some of those discussions as well. So regardless of where the source is as a customer for the next vessel we're obviously thinking about that now. And in addition to that, of course, we've got an FLNG development team that comprises both technical and commercial people looking to develop that next project to FID stage and as part of that development journey, they obviously consider these things.
Chris Wetherbee: And from a yard standpoint, you're confident in Keppel's ability to be able to do both if possible?
Iain Ross: We've had discussions with Keppel about their ability to do another vessel at some point with a staggered start and those discussions have been really positive.
Chris Wetherbee: Okay, that's very helpful. I appreciate that. And can you just, I guess maybe think bigger picture about if you could maybe lay out some of the road map of timing of all of the different things that you guys are working on. I know you, there's been a lot of questions that you are touching on the potential of this business and this company might evolve over the course of the next several years, but could you maybe give us a road map of sort of what's priority number one versus number two and maybe how you think about power of the fleet and everything kind of going forward here. Just be helpful to get a understanding of how you might see this developing and sort of in what type of time frame?
Iain Ross: Okay, so I'll have a go at doing that sort of very high level. I mean if you think about the things that we've talked about today, we've got the potential for something happening with the ships. That's going to be a 2019 activity if it happens I would imagine on the basis that we see the market improving and more importantly becoming stable is this taking, want to take that volatility out of the market to move that way. We've talked about Sergipe coming on stream end of this year, beginning of next year and therefore the timing for something around Golar Power's growth platform. That's lined up to be developed this year for an implementation possibly next year. We, as I said, it's early days. Remember that we have different teams doing these works so we can do them in parallel.  The development of a second FID perhaps later in the year. Well, that's a big priority and we're working hard on that. That was the pipeline of projects that we've got and then the fourth area, developing and it's part of, in some ways, it's part of the Golar Power story, getting the next FSRU lined up that's potentially linked to your power station and of course, we've talked about Train 3 on Hilli, which we don't have to do very much. We are ready to go, but we expect that we'll be in receipt mode for that before the end of this year. So I think we've got these things running in parallel, but organizationally, we are structured to do these in parallel and I think financially, we're also instructed to do these in parallel. I don't know if that's too high a level for you, but I'm very happy to take it offline.
Chris Wetherbee: Yes, no, that actually is very helpful in terms of laying out the broad framework. So, I really appreciate it. Thanks for the time. I appreciate it.
Iain Ross: Okay. Great.
Operator: Thank you. And your next question comes from the line of Eirik Haavaldsen of Pareto Securities. Please ask your question.
Eirik Haavaldsen: Yes, just quickly and please forgive me if you already addressed this, but what's the reason for the, it seems like theTrain 3 at Hilli is getting a bit pushed back and there is limited progress, I mean you've been ready for some time and nothing is happening. Is this related to LNG prices, is it related to the government of Cameroon or what's the hold up?
Iain Ross: Okay, so first point is we haven't pushed it back. Maybe your expectations have been different, but we've been ready. We've run all four trains. We've run three at once on several occasions. So I think there is no problem with our vessels. So then it turns right to gas supply and Perenco is a privately held company. They are quite secretive and they are very tight with information that they want to be public. So I think all I can say is that they will be drilling additional wells and doing some subsea tiebacks to secure the gas and in order to get the Train 3 working, we don't need any additional governmental approvals, but what I would say is that the representatives, represent the government of Cameroon in the energy sector are very supportive of moving forward. These things just take time and it's about capital allocation within Perenco, getting organized and doing the job safely and to the right level of standards. So these things just take time.
Eirik Haavaldsen: Okay and secondly, you also mentioned in your report very briefly that you remain engaged with the relevant authorities of Equatorial Guinea in case the license is awarded to an operator. Are there any type of discussions ongoing at all with the new potential operator that could be interested or is this sort of just phasing out of it.
Iain Ross: I'm sure there are, I mean I would imagine that the government of Equatorial Guinea are very keen to monetize the gas that's sitting in the Fortuna asset and I've got no doubt we'll be talking to a number of potential suitors for the acreage. What we don't know yet is who that will be and we don't know what their monetization plans are. What we do know is, if they want to put an LNG facility in, they will come and talk to us.
Eirik Haavaldsen: Okay, thank you.
Operator: Thank you. And your next question comes from the line of Jason Gabelman of Cowen. Please ask your question.
Jason Gabelman: Yes, thanks for taking the question. I guess it is just around the progress of your new FLNG projects. It's taken around three years from one of your FID-ed Hilli to get FID on Tortue and I know there's probably a hope that FIDs coming quicker than they have, but is that a reasonable expectation going forward for how long it takes until you get another FLNG project FID-ed.
Iain Ross: Yes, I think it is a reasonable assumption to expect the interval to accelerate. We certainly want it to accelerate. I think the elements that underpin that assumption are firstly, as I mentioned earlier, the acceptance of Hilli being I guess the proof of concept and the reliable performance that Hilli has been demonstrating to the market and then secondly BP, selecting Golar's FLNG technology for their Tortue field which is you know it is a massive development and we're right in the middle of their development and key to that project success. So I think that will, we know that that's giving the market increased confidence in the application of liquefaction technology and when we corporately or publicly declare that we wanted to do five FIDs in five years, I don't think that was a technically unreasonable ambition. I think it was probably two years too early and having that level of ambition now is for us it still remains and I think for the reasons I've mentioned, it's far more possible now than it was a couple of years ago.
Jason Gabelman: Thanks and just on Hilli Train 3, if I could ask the question a different way. I understand you guys have been ready for quite some time to get Hilli Train 3 utilized. What's changed from the operator standpoint and the second part of that question is, what, how long can you operate three trains given Perenco's current resource. I think there has been prior estimates of, it was either five years or eight years with all three trains running, is that still fair. Thanks.
Graham Robjohns: So I don't think anything's really changed around Perenco. You think about it from their point of view. They contracted with us for the world's first converted FLNG vessel to process their gas. They've been very pleased publicly with the performance and you would expect them to sit and look at this for a few months before deciding they wanted to invest further in it. Just to make sure that they were happy and confident of the process. I think the time has come where they've been in parallel looking at their development plans of how they get the additional gas and they're getting to the point where they're feeling more confident in us, they are feeling more confident in their solutions for getting the additional gas and therefore they are indicating to us that toward the end of the year, it seems like it makes sense. So you got to look at this from their point of view. From our point of view, we were ready months ago, but the world doesn't always work that way. Sorry, I have forgotten your second question.
Jason Gabelman: Just on the number of years you could run three trains at full rates.
Graham Robjohns: The agreement that we've got relates to eight years of 500 BCF and if we go outside those parameters, then we will have a different conversation. I think it's fair to say that when we get to that point, we'll have figured how to get Train 4 on board as well and we'll wrap all that up together. That will be, once you've sold the Train 4 thing, we'll figure out how to do that and then advise.
Jason Gabelman: Thanks.
Operator: Thank you. Your next question comes from the line of Greg Lewis of BTIG. Please ask your question. Hello, Greg. Your line is open, please ask your question. I'm sorry we are getting no response from Greg. Hello Greg, can you hear me?
Graham Robjohns: No, this is Graham, operator. We move on to the next question as, we've actually got about just under 10 minutes left before we need to cut the call. So we'll move on.
Operator: Certainly, sir. The next question comes from the line of Magnus Fyhr of Seaport Global. Please ask your question.
Magnus Fyhr: Thank you. My questions have already been answered. Thanks.
Operator: Thank you and the next question comes from the line of Craig Shere of Tuohy Brothers. Please ask your question.
Craig Shere: Thanks, sir for taking the question. I just had, was wondering if you had more color around Delfin. If you think that the key linchpin would be more supply rather than offtake and where you think that might fall in the pecking order of the likely next couple FLNG projects that you might have.
Iain Ross: Thanks, Craig. So we, as I mentioned, we are working actively on Delfin at the moment. We've got a team in Houston working with the Delfin guys. We've got a work program over the next two months to try and understand more of the threshold issues and of course, the main threshold issues are connecting the LNG supply and the LNG offtake. If we can get the offtaker and the supplier aligned. There's a few different ways you can do it and we're just working through the various permutations, finding out who is currently interested particularly in the wave of the ExxonMobil Qatar announcement, does that influence anything, but we remain really engaged in Delfin and I can assure you that if we can find a sensible way through the supply and offtake issues and get ourselves aligned around all the activities to be done it will be right up there in the list. These projects are all by definition complex and there's a lot of work in picking the ones that you want to invest time in if that makes sense and we're investing time in Delfin. So that should tell you where it sits in importance.
Craig Shere: Do you see the offtakers more likely to respond with certainty of supply. Is there a particular linchpin that you see start getting this ball rolling?
Graham Robjohns: I think you're right, Craig is linking the offtaker to the supplies so they get comfort. It's how do you underpin the supply side to make sure that the offtaker is satisfied with that because both Golar and Delfin are fairly small entities. So we're working pretty hard on trying to join those dots at the moment.
Craig Shere: Very good. Thank you.
Operator: Thank you. And next question comes from the line of Donald McLee of Berenberg. Please ask your question.
Donald McLee: Hi, guys. I was curious to hear your takeaways from the Kosmos announcement around potentially selling down their stake in the Tortue project and particularly on the amount and quality of the interested parties and then how that might tie into increased interest from the gas problem projects that you mentioned.
Iain Ross: So first of all, I think you should address that question to Kosmos. We've got no further comment on that. There's two types of FLNG project opportunities that are emerging. One is that we still think that's a great way of monetizing gas. So someone has a smaller stranded field that they just, it's worthless, they cannot get it to market, it's not big enough to underpin a large onshore facility. Then our FLNG technology and working with them to make that happen makes a lot of sense. These are more complex than somebody saying, I've got gas, I've had to shut in wells or in-flaring or whatever and I can fill one of your vessels now, can we have one, please? So there are two types of projects emerging and I think in the short-term, we are putting more emphasis on the latter, on the gas problems if you'd like, knowing that the other opportunities are still going to be there because there's no other way to monetize that gas at the moment.
Donald McLee: Okay and then if you had to put a timeline to maybe the advantage to commercialization for those gas problem projects versus the stranded reserve. How quicker to market would you say those projects can happen?
Iain Ross: Well, I think in the next year or two we should see a few of these tolling type projects coming up and then if you could imagine a scenario where we've got more than two, three, four, pick a number FLNG opportunities and in parallel and slightly behind, we're developing these tolling arrangements and I do believe that we've got both a technical and commercial advantage at the moment around FLNG at some point in the future years hence, that will diminish and that's when we want to be in the molecules so we're then using our technology to liberate our share of gas in the reservoir and then push it down the supply chain.
Donald McLee: Okay, thank you. That's all my questions. Really helpful.
Operator: Thank you. There are no further questions sir, please continue.
Iain Ross: Thanks for your attention everyone and your many questions today. I firmly believe that at Golar we're on the right track and are making good progress toward building a strong and sustainable LNG and gas infrastructure business. We've covered a lot of ground today. So happy to follow up with you through the normal channels cover any more questions and of course take your feedback. Otherwise, that's it until next quarter. Thank you and goodbye.
Operator: Thank you, ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may now disconnect.